Operator: Good morning, ladies and gentlemen and thank you for standing by. And welcome to the Mitcham Industries’ Fourth Quarter Earnings Call. During today’s presentation all parties will be in listen-only mode. Following the presentation the conference will be opened for questions. (Operator Instructions) This conference is being recorded today, April 3, 2014. I would now like to turn the call over to Jack Lascar. Please go ahead, sir.
Jack Lascar: Thank you, Craig and good morning, everyone, and welcome to the Mitcham Industries’ Fiscal 2014 Fourth Quarter and Year End Conference Call. We appreciate all of you joining us today. Your hosts are Bill Mitcham, President and Chief Executive Officer; and Rob Capps, Executive Vice President and Chief Financial Officer. Before I turn over the call to management, I have a few items to cover. If you would like to listen to a replay of today's call, it will be available for 90 days via webcast by going to the Investor Relations section of the Company's website at mitchamindustries.com or via a recorded instant replay until April 17th. Information on how to access the replay was provided in yesterday's earnings release. Information reported on this call speaks only as of today, Thursday, April 3, 2014 and therefore, you are advised that time-sensitive information may no longer be accurate as of the time of any replay. Before we begin, let me remind you that certain statements made by management during this call may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on management's current expectations and include known and unknown risks, uncertainties and other factors, many of which the Company is unable to predict or control, that may cause the Company's actual future results or performance to materially differ from any future results or performance expressed or implied by those statements. These risks and uncertainties include the risk factors disclosed by the Company from time-to-time in its filings with the SEC, including in its Annual Report on Form 10-K for the year ended January 31, 2014 that is anticipated to be filed later today. Furthermore, as we start this call, please also refer to the statement regarding forward-looking statements incorporated in our press release issued yesterday, and please note that the contents of our conference call this morning are covered by those statements. Now I would like to turn the call over to Mitcham's President and CEO, Bill Mitcham.
Bill Mitcham: Thanks, Jack, and good morning, everyone. I would like to thank you for joining us today for our fiscal 2014 fourth quarter and year-end conference call. I'll start by making some general comments about the quarter and the year before turning the call over to Rob, who will then discuss our financial results in more detail. I would then conclude with a discussion of our market outlook before opening the call for questions. So the fourth quarter developed generally as we had anticipated, our leasing revenues in fourth quarter improved significantly over the third quarter due to seasonal factors, and improved marginally over the fourth quarter of last year. The seasonal and sequential improvement in our leasing revenues this year compared to last were stronger in Russia but much weaker in Canada, and I will talk more about each of these areas in a few minutes. We experienced renewed activity in Latin America posting substantially stronger revenues from the third quarter. U.S. leasing revenues also improved because of a large project here in Texas. That project, however, did not extend beyond the fourth quarter. Seamap sales were also up significantly from the third quarter due to several system deliveries. A seasonal pickup came mainly from the Russian markets where strong demand produced much better results than last year. We deployed additional equipment in the region and the winter rental season started earlier than last year. You may remember from our prior call, we moved equipment from Hungary to Russia in anticipation of increased demand, and we benefited from that decision with a strong Russian winter season. We’re also seeing signs of work outside of Russia’s regular winter season. Unfortunately, our early predictions concerning the Canadian market are proving to be accurate with activity this winter season well below recent years. According to our customers and published reports, seismic field work in the Canadian market has dropped off by more than 40% from a year ago. As has been the case in the U.S., we believe much of the drop off is due to a reduction in exploration spending as oil companies focus on development and cash generation. In spite of the overall weakness in seismic debt acquisition activity in Canada, we have seen increased demand for wireless recording equipment. As discussed in our last conference call, we purchased additional wireless equipment for a specific project in Canada, and that project is still ongoing. In Latin America, we’re seeing conditions improve with signs of renewed activity after about two years of project delays, particularly in Columbia. We saw a noteworthy improvement in activity, both sequentially and year-over-year, and have delivered equipment for new contracts and are staging additional equipment in preparation for other jobs in that region. As in Canada, we’ve seen an increase in demand for wireless recording equipment in Latin America, and again as mentioned on our last conference call, we acquired more of this equipment for the region. While we are optimistic about the future for our leasing operations in Latin America, please keep in mind that we are still dealing with issues regarding permitting, labor, and security in the region that these can always impact the timing of our projects. European activities continue to improve from year ago levels as we are experiencing the increased demand for seismic equipment, especially coming from the Eastern European countries. Based on the indications from our customers, we expect to see continued improvement in seismic activity in fiscal 2015 and plan to redeploy equipment into the region in the coming months. The U.S. land market posted improved results, both sequentially and year-over-year, but again this was due to that one particular project during the fourth quarter that has already been completed. Overall conditions in the U.S. remained soft, and we still believe U.S. capital budgets are being allocated more towards developmental drilling rather than seismic exploration. At this point, we do not see signs of improvement in the lower 48 states. However, several of our customers have indicated there is potential for several significant projects in the coming months. Our fourth quarter marine leasing business continued to be impacted by surplus of used marine equipment due to industry consolidation and restructuring, where we are beginning to see enough signs of improvement. Down hole seismic activity continues to perform well for us, and we are seeing barely steady utilization of this equipment. And we believe part of this business is benefiting from the shift from exploration and development activity that I mentioned earlier. Sales of hydrographic and oceanographic equipment have been strong this year, resulting in a record year for our seismic Asia Pacific business. We continue to see robust demand coming from Indonesia and China and the Philippines. Turning to Seamap, we delivered one GunLink 4000 one BuoyLink system during the quarter as well as our PGS SourceLink system under the manufacturing agreement we established with PGS last year. PGS SourceLink especially in the GunLink 4000, and we jointly developed it with PGS to serve their specific needs. We expect to outfit the majority of their vessels with PGS SourceLink over the coming years. With that I’ll turn the call over to Rob Capps, our Chief Financial Officer, who will give you a more detailed review of our financial results and after Rob’s discussion I will return with some final comments.
Rob Capps: Okay. Thanks Bill and good morning everybody. I will begin as usual by discussing the top-line of each of our two segments which are equipment leasing and Seamap. Then, I will follow with a discussion of the profitability of each of the segments and conclude with the discussion of our consolidated results and our financial position. First let me review our equipment leasing segment, which includes not only our core leasing business but also non-Seamap equipment sales such as occasional sales of our lease pool equipment, new seismic equipment that we acquired from third parties, sales of heli-transport equipment, the sales of new hydrographic and oceanographic equipment from our Australian subsidiaries, SAP or SAP. Our core leasing revenues in the fourth quarter were approximately 12.3 million, up about 6% from last year’s fourth quarter. The increase in leasing revenues was primarily due to improved activity in Latin America, Europe, and Russia. Revenues from our U.S. operations were also up substantially from the year ago, those results were skewed by one particular project that’s already been completed as Bill mentioned. While Pacific Rim is down from a year ago, it showed improved results over our third quarter. Our Canadian leasing revenues were down quite a bit from this time last year due to the marked decline in seismic exploration in the country that Bill discussed. The wireless equipment that we purchased from the Canadian market has been deployed, but that particular project did not start until February, and therefore it did not contribute to our fourth quarter results. However, the job in Latin America for which we purchased equipment late last year did commence, so we did get some benefit from it in the fourth quarter, but not for the full quarter. Our marine leasing business was down from year ago as the abundance of used equipment from the industry consolidation has temporarily lessened demand. This situation will likely continue into the near future until the available supplies absorb. As Bill touched on earlier, we expect growth in our core leasing business to come from our overseas markets in fiscal 2015 as we have seen new activity in Latin America, Europe, and Russia. The yields remained relatively soft and we see the domestic market as relatively flat in fiscal 2015. Sales of lease pool equipment were $663,000 this quarter compared to $4 million in the same quarter a year ago. Other equipment sales, which include heli-picker equipment as well as sales from SAP were 2 million compared to 3.9 million in the fourth quarter a year ago. I’ll now turn to our Seamap segment which designs, manufactures and sales a variety of products and systems used in the marine seismic applications. Seamap revenues were $8.7 million compared to 8.9 million in the fourth quarter a year ago. As Bill mentioned we delivered a GunLink 4000, a BuoyLink system in the quarter as well as the PGS SourceLink and we had expect to deliver another GunLink 4000 in fourth quarter but issues with the availability of the vessel caused the customer to delay delivery until the first quarter of fiscal 2015 and that delivery has taken place. We’re also about $1.6 million in revenues related to our project in which we packaged equipment from third parties and then resold to a customer. I want to discuss the profitability of each of the segments, now the gross profit from our equipment leasing segment in the fourth quarter was 4.1 million compared to $4.4 million in the fourth quarter of fiscal 2013. Fourth quarter gross profit margin in leasing segment was 27% compared to 23% in the fourth quarter last year. Now this improvement in the gross margin was primarily due to lower leasehold depreciation related a year ago. The gross profit in the fourth quarter of our Seamap manufacturing business was 4 million compared to 4.3 million a year ago. This represents a gross profit margin of 46% and 48% respectively. But the decrease in Seamap margins was mostly due to the $1.6 million third-party resell order that I mentioned a moment ago but as you would this project carried a lower margin than our own products. Our overall gross profit for the fourth quarter was 8.2 million compared to 8.8 million in the last year’s fourth quarter. This represents an overall gross profit margin of 35% compared to 31% a year ago. I want to touch on just a few other items in our P&L segment, our general and administrative expenses were approximately $5.5 million in the fourth quarter of fiscal 2014, down slightly from the 5.6 million in last year’s fourth quarter. Our tax provision for the quarter was $397,000 and our effective tax rate for all of fiscal 2014 was about 21%. This effective tax rate for the year was lower than U.S. taxable rate of 34% because of the effect of running to our foreign jurisdictions which have lower tax rates. Our fourth quarter EBITDA was $10.1 million or 43% of revenues compared to $12 million or 42% of revenues in last year’s fourth quarter. Now keep in mind that EBITDA is the non-GAAP measure as reconciled and reported income and cash provided by operating activities in the financial titles in the press release. Overall we reported net income for the fourth quarter of $1.8 million or $0.14 per diluted share. This compares to the net income of 3.4 million to $0.26 per diluted share in fourth quarter a year ago. Let me make just a few comments about our financial position, and then I'll turn the call back to Bill. During fiscal 2014, we purchased about $49 million of new lease pool equipment. With about 37 million of that comprised of new wireless equipment what we purchased for the jobs in Canada and Latin America we talked about previously. We now have in our new lease pool of about 290,000 land channels. This includes over 55,000 stations or 165,000 channels of three component digital recording equipment. And over 80,000 channels of wireless recording equipment. And we will continue to selectively add to our lease pool based on our customer needs. We currently expect our additions to the lease pool in fiscal 2015 to range between $15 million and $20 million. Of course that amount could change exclusively based on demand and market conditions. Mitcham’s overall financial position remains strong. At the end of the quarter we had nearly $49.7 million of working capital, cash and cash equivalents of 15.2 million and 22 million outstanding in our revolving credit facility leaving us with net debt of about $6.8 million. Our fiscal 2014, our cash provided by operating activities was over $21 million. Our fiscal 2014 adjusted EBITDA was $38.2 million. And with that, I'll turn things back over to Bill.
Bill Mitcham: Thanks, Rob. And some of the issues that were weighing on our results in fiscal 2014 remain we are also beginning to see some encouraging signs in several of our operating areas for fiscal 2015. Renewed activity in Latin America with numerous projects already awarded in Columbia and additional opportunities available in Bolivia, Peru and Brazil. A more robust European seismic rental market where exploration activity has improved considerably from year ago levels and stronger activity in the Russian market, but potential visibility into some incremental projects extended beyond the winter season. We also are seeing opportunities in the Middle East, although most of the activity in that region is not well suited for our rental model there appears to be some recurring business thrust there. Our recent sales and marketing efforts are really producing some very encouraging prospects. We expect most of our land rental activity in fiscal 2015 to come from outside of North America. As a result we are redeploying some equipment in order to make it do more efficiently or more effectively address our more active markets. We also invested in higher demand wireless recording equipment to meet the specific demands of our customers. Given our global footprint, our ability to quickly move equipment wherever it is needed, we’re well positioned to benefit from an improving market conditions wherever they might be. Although commodity prices remain very favorable with over around $100 a barrel natural gas and around 450 oil and gas companies, and so far we remain stead-fast for this increasing production volumes rather than doing much new exploration. In Canada exploration activity remains subdued and it’s unclear what the next winter season would look like. However, demand for our wireless recording equipment has partially offset the effect of the overall market decline. The marine seismic market has presented some challenges this past year, industry consolidation, it had an impact on demand and there may be further consolidation in the future. As some believe there is an oversupply of vessel capacity in the market, while that can cause some short-term difficulty we view consolidation as healthy for our industry. We have a bullish outlook for Seamap in fiscal 2015. Seamap certainly is not immune to the effects of the industry consolidation that we’ve seen. However, in an environment such as this we believe our customers seek to become more efficient and offer better services to their customers. This can be accomplished by bringing on newer and more efficient vessels and by upgrading technology on existing vessels. With our industry leading technology and products we think Seamap is well positioned to be an important part of our customer’s plans. We certainly expect to make additional deliveries of GunLink in fiscal 2015 as well as continued deliveries of PGS SourceLink through our agreement with PGS. In addition our recently introduced new generation BuoyLink 4DX is the most functional and advanced RGPS system in the seismic industry today. The 4DX allows more precise positioning capabilities and an increase in the volume of telemetric data supported by the system while also improving reliability and signal integrity. Today we’ve delivered two complete systems. We have two more pending and are seeing increased interest from our customer base. So we are consciously optimistic, that our fiscal 2015 results will show some improvement over 2014 although we likely will not see that improvement until after the first quarter of this year. So that completes our formal remarks. Craig, we will be happy to take any questions. Question-and-Answer Session
Operator: Thank you very much. Ladies and gentlemen, at this time we will now begin the question-and-answer session. (Operator Instructions) And our first question does come from the line of Veny Aleksandrov with FIG Partners. Veny Aleksandrov - FIG Partners Good morning, guys.
Bill Mitcham: Good morning Veny.
Rob Capps: Good morning Veny. Veny Aleksandrov - FIG Partners My first question is about Latin America. It is picking up, and there is renewed activity and Billy touched price a little bit on -- is permitting you think this year or is it weather and is it just a couple of clients that are driving the market for now or it is all across the board?
Bill Mitcham: Well, I think it’s not just one or two clients. I think it’s broader than that, although I think there’s not as many contractors active in that part of the world as there might have been three years ago. I think there has been some consolidation or I know there has been consolidation there, no doubt about it, and I think that’s helped things a bit, but it’s not just one or two contracts as we have a handful of customers who’ve been over there, but I think they are learning to deal with some of the permitting issues and just overtime that you have to get the work done, so I think things are getting -- working themselves through. Not that those problems are gone, but they are learning to deal with them. Veny Aleksandrov - FIG Partners Thank you. Then going back to the wireless, I know that you have already acquired a good number of generals, which you have some in Canada, you have some working in Latin America, you are starting new project in Latin America. Are you -- for now, are you okay or do we need to raise the CapEx for this year in order to acquire more if there is such an interest?
Bill Mitcham: No, I think we’re okay for now. As I said, we’re looking to spend 15 million to 20 million this year, so I would expect a good part of that would be wireless this year. We don’t see a huge need to go out and do anything right now. I think we feel pretty comfortable about where we are at this point, and hopefully if there’s still big demand for the cables equipment as well. Certainly, there is demand for wireless and that’s increased and there’s still a lot of demand for cable systems. Veny Aleksandrov - FIG Partners Okay, and my last question Bill was on the ocean -- mentioning in the press release about borehole and some renewed interest there. Can you elaborate on that?
Bill Mitcham: Well, I think as we’ve seen that activity pick up, really it started in the last half of last year. We started to see the borehole activity pick up, and it’s remaining fairly steady for us. And I don’t think we’re looking to go buy much more of that equipment right now, so I think it’s going to be pretty steady for us. They are not a huge contributor, but certainly a big improvement from where we were at this time last year. Veny Aleksandrov - FIG Partners Thank you, I appreciate it.
Operator: And our next question does come from the line of Georg Venturatos with Johnson Rice. Georg Venturatos - Johnson Rice Hey good morning guys.
Bill Mitcham: Good morning George. Georg Venturatos - Johnson Rice Just wanted to touch on the domestic side first. Obviously, it sounds like still pretty challenging there, remains soft. I guess my question was absent that large project we saw this quarter, are things getting -- were they getting worse sequentially? Are they stable and still soft or how do you see that evolving over the next couple of quarters, and then additionally, obviously, we are seeing less activity, but are you seeing a change in the project size mix as well?
Bill Mitcham: Let me answer that, all of the above. George, I mean certainly there’s a lot of things falling off there in the U.S., a lot of activity is falling off. Of course, like you said, we had one big project. There’s several big projects out there this year, when they get to them, and who actually get to them and how much equipment they need because I know there’s most of them are upwards of 20,000, 15,000, 18,000, 20,000 channels, I’m not sure. Again it depends on who gets to bid as to who needs the equipment, so I think there is still quite a bit of opportunity and we see some little things happening here, we just don’t see a lot of big things happening. A lot of big jobs for us to sink our teeth into, but trust me we’re out there chasing every one of them. Georg Venturatos - Johnson Rice Got you. And then to follow onto that, you mentioned redeploying some channels out of the U.S. Can you remind us where you are today in terms of a channel count, where you might be after you redeploy some of those strategically?
Bill Mitcham: That’s a moving target right now, so I think it’ll be a bit misleading to say what we have really right now, because there’s a lot of equipment in Canada right now, but they’re pretty sure jobs, a lot of it’s come back, so there is -- to say Canada is a little weak, so I think we will receive more equipment in the States, you might expect we’re moving equipment, adding new equipment to Latin America, both out of Canada and from the U.S. and we’re looking to move equipment from those locations into Europe as well.
Rob Capps: But we won’t have a shortage of equipment in the U.S. if we need that, for any particular job or jobs. Georg Venturatos - Johnson Rice Okay, yes, that is what I was more curious on because it sounded like there was potential in the second half if things do pick up. Just wanted to make sure you were covered there. Great. Last one for me on the Seamap side, obviously it sounds like you have got some opportunities there. Maybe you could just give a little more insight and you did a good job of it, but on the source controller opportunity with PGS, just how big of an impact you could see that over the next 12 months in terms of their needs with their existing vessels, and then maybe with the new version of BuoyLink 4DX, how does this -- how necessary is it for an upgrade? Do you see, guys that -- is it more of a replacement or just an upgrade of existing technology?
Bill Mitcham: Okay, start with PGS, we have two deliveries of SourceLink scheduled in the pipeline this year. Now we have deliveries outside of the PGS also but we don’t talk a whole lot about our backlog. I did say that we have two orders pending for the BuoyLink 4DX, again it’s a brand new system and I think that I’m not sure it’s, you describe it as revolutionary but we’ve certainly surpassed all of our competition in terms of the abilities that we have and the bells and whistles that we had better available on the 4DX. So, again, I would iterate I said it earlier we are very bullish on seeing that this year and I think we’ll have a great year there. Georg Venturatos - Johnson Rice Great, great. Well, I appreciate the answers guys.
Bill Mitcham: Okay George.
Rob Capps: Thanks George.
Operator: (Operator Instructions) And our next question does come from the line of Joel Luton with Westlake Securities. Joel Luton - Westlake Securities Morning guys, with respect to the first quarter you expected to be weak, and is that primary because there was a pretty strong quarter a year ago?
Bill Mitcham: Well they have.
Rob Capps: [Indiscernible] Joel, I mean [Multiple Speakers] this was strong because of Canada and that Canada was [indiscernible]. Joel Luton - Westlake Securities Okay, and is all that with respect to Canada, none of that’s weather related, that really didn’t impact to right as people -- the companies get the equipment even though they maybe impact by the weather you all yell hard, is that the case?
Bill Mitcham: No, we need weather in Canada.
Rob Capps: Yes, all weather impact.
Bill Mitcham: We are impacted, if they’re not working, they’re not ready. But the weather is not the issue this year may be you see activities out there [indiscernible]. Joel Luton - Westlake Securities Okay. Because I know some specifically weather got toss and then CGC with respect to just the cold winter or just extra cold and I know they need cold. And then also with your stock repurchases, you’ve taken all little bit adapt to buy the nodal systems. Do you anticipate may be scaling back stock repurchases just because you have a little bit more debt on the balance sheet or any comments on that?
Bill Mitcham: Well, no, I think our debt level is 22 million where that as of year-end, actually it’s less than that now it’s about 50 million as of today, so we’ve gone down pretty significantly for generating cash flow we’ve lot of capacity. So, I would not expect us to scale back on our stock repurchase. We frankly have not been very active in last six months on that. Joel Luton - Westlake Securities Right.
Bill Mitcham: And expect we’re going to be more active going forward specially with stock levels. Joel Luton - Westlake Securities Okay, thank you very much.
Bill Mitcham: Thanks Joel.
Operator: And our next question does come from the line of Mark Brown with Global Hunter Securities. Mark Brown - Global Hunter Securities Good morning guys.
Bill Mitcham: Good morning Mark.
Rob Capps: Mark, how are you doing? Mark Brown - Global Hunter Securities Good. You touched on the Middle East as a location where you might see some growth and recurring business. Just curious, what kind of growth you expect, and any color would be appreciated.
Bill Mitcham: Well, we’ve recently had a really good guy in Eastern Europe, but he’s travelled extensively in the North Africa and the Middle East. And we’re seeing some a lot of digital projects that for additional seismic equipment the DSUs in fact and so where he scared up a few things there and I think we have opportunity for several jobs. They’re not long-term jobs. Most everything in the Middle East is three years with the one year extension. So that didn’t -- all I know is we love to get one of those on our rental rates, but we’ll never get one of those spreads where your job. But some shorter term jobs, 60-90 days are what we’re looking at and it looks like there is some real opportunity there for us. Mark Brown - Global Hunter Securities Very good, very good. Wanted to ask about the oversupply of vessel capacity, that you indicated that there may be some more consolidation regarding your customer base and wanted to just understand a little bit what the impact of that would be on your business. Would it be fewer customers and less dollars as a result, or maybe you could just clarify that for me?
Bill Mitcham: Well, I mean there has been a couple of companies without just naming names but there has been a couple of companies that I’ve talked about shutdown some of their lower capacity, streamer capacity boats and some of their less efficient boats and bringing on some new vessels and consolidating some of their smaller vessel into the bigger larger capacity vessel, so able to pull more streamer. So in anytime you take a vessel out of water then there is some opportunity there that’s or last opportunities if you would in terms of whether it’s an upgrade or a new one but they’re also all bringing there are several new 60 vessels coming out in not too distant future and two of those we know. We have actually four of them we know that we have backlog for, I guess is best word to say, signed orders. But I think the idea of consolidation isn’t bad, it will get some of the older equipment out of the system, people especially in the seismic industry they think can they hang on the things and they have had since like my dad since 70s. And I think it will get a lot of that less efficient equipment out of the market and give us some further opportunity when they put the new vessels in the water. Mark Brown - Global Hunter Securities Okay. Thank you very much.
Bill Mitcham: Thanks Mark.
Operator: And our next question does come from the line of Tyson Bauer with KC Capital. Tyson Bauer - KC Capital Good morning gentlemen.
Bill Mitcham: Hey Tyson. Tyson Bauer - KC Capital Couple of quick questions. When you describe the outlook for fiscal ‘15, how much of that whether it’s deemed successful or similar to fiscal ‘14 really rides on that next winter season in Canada as kind of being the teeter-tot fulcrum whether it's -- you are going to see growth or not and we probably won't see an indication of that until fiscal third quarter?
Bill Mitcham: Well, I think your last point is definitely right. So remember we hit most of our benefits normally out of Canada in the first quarter. We usually don’t get very much third-fourth quarter effect. So, yes, it’s not that depended upon Canada coming back to normal level, certainly would help, don’t get me wrong but that’s really more issue as to of what the next year looks like. Tyson Bauer - KC Capital Okay, so that goes in the fiscal ’16 almost?
Bill Mitcham: Yes. Tyson Bauer - KC Capital Are you then viewing this as or it’s kind of bouncing along the bottom here specifically in North America, can’t get much worse that kind of suggestion?
Bill Mitcham: Certainly, we hope that’s a case. And I think that’s how we feel right now, really so low right now. There like the overall demand is still there or demand of the services is there overtime. So I think we’ll see a comeback. Contractors of U.S. especially had really hard time as everyone knows and I think they will come back and I think it will comeback as well. There are a lot of particular issues in Canada with transportation issues, pipeline capacity, thinks like that. As they work themselves out, I think you will see Canada comeback. Tyson Bauer - KC Capital Next topic is kind of two part. Give us kind of your target lease for percentage wireless versus cable and is that expected to be achieved because you’re going to be making more of your purchases with wireless or when we see that grow in respect because you expect to increase you lease pool sales of some of the older cable systems?
Rob Capps: We don’t have a target percentage. It really is, we’re actually depending on our customers asking for and that change is based on what their particular needs are with our operating. As we said, we would expect the percentage of wireless to increase because we currently buy more wireless and cables right now. There maybe some of the older equipment that we disposed up this year, but not a great deal. We’ve disposed some over the past year also, some of the olds itself far way things like that. Other than that anything newer in that on the cable side still us in demand for actually there is some shortage of cable equipments in some parts of the world. Tyson Bauer - KC Capital Okay, that’s all we need to be. The lease pool deprecation, you had a large CapEx in the Q4 with the wireless that you’ve brought in, give us an idea with some of the older equipments rolling off throughout the year in combination with what you’ve just purchased in the fourth quarter? What should we expect on that depreciation line?
Bill Mitcham: You will see deprecation increase of yet as you get into 2014, as we put this new stuff in, put in use and put on contracts that will offset the fall off. You would see lot of fall off that you’ve experienced regard [indiscernible] through the fourth quarter. So you will see it goes up a bit. But as you know there will be continuing steps to roll off, but there will be an increase depreciation expense. Tyson Bauer - KC Capital And as there a very much differential on pricing, you’re talking about lot more strength international market that’s the focus is going to be versus domestic kind of give us that pricing trend, here it sounds like it’s very highly competitive specially when you got large scale projects that you’re betting on versus kind of what you’re seeing on the growing markets whether it’s Latin America, Europe or Russian?
Bill Mitcham: The pricing worldwide is competitive, I mean, here it’s a little less competitive I guess I don’t think we’re seeing a lot of fall off in the price but certainly we’re not the only one in the rental business. We enjoyed a pretty good position here, now certainly all of the manufacturers are competing in the rental markets. So there are some pricing opportunities, and the part I’ve discussed, we have equipment pretty much everywhere in the world that we need to be. But I think worldwide that the market maybe has moved just a little bit in terms of pricing down. But here maybe a little bit more. Tyson Bauer - KC Capital And help us remind your purchase agreement with Sercel? I think you’ve minimum that you need to achieve, is what you’re driving for the CapEx for fiscal ’15? Are we towards those minimal levels?
Bill Mitcham: Actually, our agreement, we thought our agreement with Sercel -- we have co-rated those. So we have no obligations to Sercel any longer. Tyson Bauer - KC Capital So was that mutual agreement?
Bill Mitcham: I mean, one expired by seven terms end of December. The other one, we made decision we just didn’t need to buy the quantities required under the agreement sat down with them, and we made sense to terminate the agreement. That means we can’t back go back with them and we will as the demands there, and we will certainly sell it to us, but there are no requirements any longer. Tyson Bauer - KC Capital Alright thank you gentlemen.
Operator: (Operator Instructions) And at this time I’m not showing any further questions. I would now like to turn the call back over to management for any closing comments.
Bill Mitcham: Thank you very much. We would like to thank all of you once again for joining us on this call and for your interest in Mitcham Industries. We look forward to talking you again after the conclusion of our first quarter. Thanks.
Rob Capps: Thank you.
Operator: Ladies and gentlemen, now we will conclude the conference for today. Thank you for your participation. You may now disconnect your lines at this time.